Operator: Good afternoon. Welcome to A2A Q1 2024 results call. My name is Zach and I will be your operator for today's event. [Operator instructions]. I will now pass the floor to your host, Marco Porro, Head of Investors Relations.
Marco Porro: [Interpreted] Good afternoon. Thanks for attending the call to present Q1 2024 results with solid results. Renato Mazzoncini, our CEO, and Luca Moroni, our CFO, will commend the results.
Renato Mazzoncini: [Interpreted] Thanks Marco. Good afternoon. Thanks for taking part in our conference call, where we will comment. The results of Q1 2024 allow me to highlight something I have already mentioned in other meetings. That's something that I would like to restate. The results we have attained also in this quarter, from strict planning, which started 13 quarters ago, leading to constant growth in-line with the business plan we had developed. Following the trajectory of our business plan, we are profiting from positive wins as already discussed during March 11, about the energy scenario areas which have only partially contributed to robust industrial growth stemming from a CapEx driven strategy, which also this quarter has allowed us to maintain significant level of investments and developments. We are very glad of these results. If we want to take a look at the slides, we will see the highlights, needless to say that hydro production is back to normal levels. We can make a comparison with the first quarter 2023, where we head on the tail of the drought effect end of 2022. So it's worth highlighting here that A2A hydro production, which in the ten years before 2022 was averaging 4.3, 4.4 terawatt hour in 2024, will go back to the previous performance, so it will outperform conservative data. We had assumed when preparing the budget in 2023, when we had carried forward 2023 value and a value of 3.7 terawatt hours for 2024. We are now confident to announce a value of 4.4 TWh, since the catchment basins are full and there is still plenty of snow on our mountains, following the dynamics we had had in the previous year's. Another important element that you have certainly seen is the extraordinary performance of the market business unit of the market margin. We were expecting it also this year. We are still absorbing very significant retention costs which will only end in 2025. They are essentially due to customers repositioning after fix the price contracts and their end in 2022, with hundred thousands of customers at fixed prices, they need to be reassigned and if they contact us, they can be repositioned. And this generates a cost for us. But this retail margin is very important to us and it stems from a customer base which has increased by 500,000 customers compared to the same quarter in 2023. And they are free market customers with prevalence for electricity customers. Also, regulated businesses have already produced more revenues for WACC adjustment and the very good performances. We have made in our investments, supporting the rubber for electricity, water and gas, and the remuneration base to grow further. And all of this has been partly offset with different EV TDI impacts by thermoelectric production, which is decreasing due to higher hydroelectric production, and to the import from France and from the MSD, which is now back to a normal level, which means about 50% of what we had in 2023. And this is in-line with our expectations. Very interesting element. For the very first time in our history, renewable energy source production has exceeded the thermoelectric production.We have 1.3 terawatt hours of renewable energy sources in total, and 1.2 terawatt hours of electricity production. So this effect has caused the decrease you see here by 43% of CO2 emissions per produced kilowatt hour, which is a very important achievement. The growth of RES is essentially linked to the start of operations of some wind and solar farms, mainly wind farms most of all in Sicily, Matarocco plant. The other very important element is the distribution capacity of our electricity. As you see, it has been growing significantly by 6% to 7%. Deriving from the investments we have performed last year, we have invested more than €230 million in the electricity grid, with an increase in the about €170 million. This measure has been adopted to tackle the peak in the demand of distributed energy, which is estimated at 30%. And in Milan Brescia, it can reach 50%, which requires important investments, in-line with the logic of taking over the grid from Enel. We are now working on the closing. There is some administrative measures to be taken, and then we also need to define all of the criteria for measuring the energy which is distributed by A2A or Enil through the substations from Milan to the outskirts of Milan, always with reference to renewable energy sources. It's worth drawing your attention to the fact that in early May, we have acquired 70% of the solar farm in Milan, too. We have a building site for a 60 megawatt solar farm, the largest one in northern Italy. With this new plant adding 112 megawatt peak production, we will have in total almost 170 megawatt capacity, by far the largest photovoltaic plant in northern Italy. We have continued to invest to counteract water losses. The distribution network of water is well remunerated by the energy authority. I would say that it's the part of network where we get the best wax. The per-head investment is €130. The national average is about 50% of that. So we have about €100 million investments for the water network, which is very rewarding from a technical point of view. And in this slide you also see the other two elements and namely the final opening of the few blue gas cleaning in Brescia, improving the performance of the WTE plant so that 12,500 equivalent households can get heating through this WTE plan. And then we have been awarded the order for public lighting in Treviso, which confirms our geographical expansion. We are now present in eight regions and 45 municipalities. If we look at the next slide, it's a self explanatory. I would say it requires no comment. Luca Moroni will comment. The net financial position, we have decreasing ratio between PFN and EBITDA. It reaches 2.2, which is a significant financial performance. The significant growth of the net profit supported by EBITDA, growth supported by industrial elements has allowed us to have an additional benefit, that is reduction in the cost of debt besides tax efficiency, leading us to ordinary net income of € 294 million. A monster figure. Luca, I don't know whether you want to add some details on the next slide?
Luca Moroni: [Interpreted] Good afternoon. Also on my side, I'd like to thank you very much indeed for taking part in this call. Slide 5 shows how EBITDA growth 40% increase to gauge 202 million year-on-year. As you see here, €703 million versus €501 million in Q1 2023 stems from energy generation 120 million and market effect €87 million euro. We will then see what are the drivers of these positive changes. Also, smart infrastructures are performing well. We have an increase of €11 million and we have a stable performance of waste as we will see in the next few minutes. It has given a very positive contribution in terms of industrial performance which is partly offset by some scenario effect which has been normalized. Let's now comment the various business units slide 6, UC generation which is increasing by €119 20 million versus Q1 2023. Here we have provided a breakdown linked to the technologies we manage as mentioned by Renato at the beginning of the presentation. So we have produced more using renewable energy sources than conventional ones through thermoelectrical sources. And you see the significant contribution, more than €200 million thanks to RES. The most important part comes from our hydro plants, which have benefited from very positive water levels thanks to the heavy snow and rainfall, so that we are on the safe side. Also for the next quarters there is a slight downturn, 70 million less in the so called flexibility part related to more conventional plants. Also coal fueled plants which have not generated any energy, while in Q1 2023 there was still some residual production and less production at San Filippo wind farm. And as Renato has already mentioned, we have CCGT plants which have produced fewer terawatts. But we have leveraged the flexibility of these plants to reach attractive margins. The trading portfolio is now stable. In previous years there had been very positive results, also thanks to market volatility, which is now fading away, thus making this kind of business more stable. On the right hand side of the bar chart you see the generation from renewable energy sources which increases by 83%, reaching a level of 1.3 terawatts, while the thermal production decreases by 64% and it reaches 1.2 terawatts. Next slide, slide 7, market. As already described during previous meetings, the market is now stabilizing and normalizing its margins. Most of all, if we compare it with the last quarters of 2023, the difference is here measured with reference to Q1 2023, where there was still the tail of a fixed price contract over two years, where we had been suffering and we had also larger volumes acquired on the spot market at increasing prices. This phenomenon had been commented in detail for last quarter's 2022 and in Q1 2023 and then gradually the situation had stabilized. They're also expressing the potential positive margin that we had already commented thanks to the overall market repositioning at more attractive levels after the energy crisis, also because some operators have left the market. So market margins are therefore positive. They give us a good visibility also when it comes at the next quarters. Also, considering the fact that we can absorb the investments we had resolved to perform in 2023, we are now re-proposing it. In 2024 we are going to invest in the customer base, about 60 million euro or 70 million euro for retention actions if customers propose the different market prices. Due to the change from a fixed price energy contracts renewed in 2022, the customer base is increasing and reaches 3.5 million customers. That's not new. We have already commented the figure. You can see the difference. The main increase has been recorded starting from Q2 2023, and this growth has continued. There will then be a stabilization and we will then look at the full effect of the acquisitions in the pipeline for 2024. Electricity sales are performing well. There is an increase by 9% from 5.7 to 6.2 terawatts. Gas sales are pretty stable. Slide eight. You see here the waste business unit. Industrial management of this business has led to very positive results also thanks to the start of operations of Parona WT plant giving its full contribution and thus allowing us to have larger volumes to produce actually more gigawatts of energy. As we see on the right hand side of the slide, this contribution from the industrial plant, which is worth about € 18 million, has been offset by about a € 20 million, linked to the repositioned energy scenario. After the peaks that we had recorded, the peaks of positive performances last year. Slide nine, smart infrastructures, as we were saying, all businesses increased, all distribution businesses increased positively. With the only exception of electricity distribution, where we had a positive increase as a result of both a positive forecast of the WACC and IRR. But then there were lower volumes of new connections. Also due to the normalization of the various contributions resulting from the so called eco bonus and super bonus, which had an impact on the volumes of nuclear utilities, which is something that we notice in the heat management business. The return for gas and water cycle were very positive, thanks to the increase in ramps, which enables us to obtain an excellent return on our invested capital. On slide 10, you see the trend of the income statement. As we were saying in the beginning, EBITDA increases by 40% and therefore we have an increase of up to 70% in the net income, basically as a result of good financial management, that is to say, management of financial expenses. So there's a -- with a tax rate which is 29%, as against 33% in the previous year, there are still some risks. And there is some 30 million depreciations on the investments made. I had already mentioned CapEx and so I can confirm that we are mainly on the same levels as last year, that is say 20 million. And we need to stress that we have € 125 million investments for development investments. So basically they couldn't, they form the bulk of our investments. On the right hand side, you see that investments in smart infrastructures take the lion's share. And especially within smart infrastructure, the major part is taken by electrical energy. But you can see that our CapEx are spread across all business units and we have over €1.4 billion CapEx over the year. And at the bottom you see the typical breakdown you're accustomed to seeing, that is to say, both by sdgs, where we have approximately 80%, and by EU taxonomy, which is even stricter, and where we have 64% of eligible CapEx. And the last pie chart basically shows a breakdown by our two pillars, that is to say, circular economy and energy transition, where energy transition, also in-line with the new plan, where we have € 22 billion CapEx over the plan period for energy transition, six for circular economy. And here you can see we have a 70 to 30 ratio between the two. On slide twelve, you see cash flows. There's excellent operational leverage, so €700 million, which enables us to reposition the net working capital Delta. As you may remember, during 2022, we had managed and we had shifted some of commodities purchases from stock exchange platforms to bilateral contracts. And thanks to this excellent cash flow management, we are now able to fully normalize our situation. So we have the typical seasonality effect in quarter one Q1, that is to say, something that is related to the winter part of our business. So we are absolutely in control of the trend of cash flows from working capital management. And so we can obtain a rate which can repay our CapEx. And so we still have an NFP variation, which increases by 70 million. But the most important figure is that we keep sound PFN EBITDA to EBITDA ratio at 2.2. Okay, let's close with the new. With the good news of the change in the guidance. You have all seen that we have revised the annual ceiling of the guidance by €100 million. In terms of EBITDA, the net ordinary income has been increased to €650 to €670 million. So, let's say that these results make us very confident and also very happy, I would say. I would now leave some room for questions.
Marco Porro: [Interpreted] I would skip the takeaways and I would go straight to the Q&A session.
Operator: Okay, thank you. Thank you very much. [Operator instructions]. The next question comes from Javier Suarez from Mediobanca.
Javier Suarez: [Interpreted] Yes, hello. Good evening, and thank you for this presentation. My first question is about the increase in the guidance. Can you please help us understand what part of this increase in the guidance in EBITDA and income is related to both, and which part is associated with better performance? There's definitely a contribution by both. And I would be interested in understanding how these €100 million of EBITDA can be broken down? And the second question is, with respect to what you said about in the business plan that you've recently presented, if my memory serves me well, from 2025, 2026, you have an assumption of hydro production of around 3.94 terawatt per hours. Can you confirm that? And looking at the circle average of the last ten to twelve years, I think you mentioned that you consider this to be -- whether you consider this to be a realistic or conservative assumption. And then I would like to have an update on the selling strategy for the previous. Well, in the previous quarter, you mentioned you wanted to achieve a 70% level for 2024, and then 2060 for 2024, and 2050 for 2026. Can you tell us about the forward selling, and can you tell us the price level that you plan to achieve in 2026? And then I have one last question about the supply performance, which is better than you expected? So, can you give us some more generality about what we can expect from this strategy? Thank you.
Renato Mazzoncini: [Interpreted] Okay. Hello, Javier. Well, I'll answer some of your questions, and then I'll hand over to Luca to supplement my information. Let me start from your second question. Yes. In our plan, well, we have a criterion which is always the same, and we didn't think we should change it. That is to say, we take the historical average for the previous ten years, to use a statistical criterion, and to estimate hydroelectric production. And considering that 2022, as you know, was 2.7 TWh and '23 was 3.7 TWh, these two years reduced the historical average, which went down from 4.3 TWh to 4.4 TWh to 3.94. As you mentioned, you should consider that the full potential of our plants can reach five terawatts. And in some years it even achieved that level. So, of course, we would need to have a crystal ball. But what I can confirm is that at present, in our business plan, we have the value that you mentioned. That is to say, approximately 3.9 TWh, with some growth. You may remember the slide which showed a growth to four, to 4.1 TWh, which is mainly related to investments because our business plan forecasts € 1 billion of CapEx for hydrolyzed generation over the plan period to improve performance and also the generation performance of our plants. Then, as we said, we think that for this year, 4.4 TWh would be a more reliable figure. And for 2025, well, of course, I don't know what I should tell you, because otherwise I would do a different job. I'm not a fortune teller. With regard to the asset strategy, asset strategy, we had a hedging level of 70%. And if we increase fixed price production, this has gone down slightly to 63%. We are hedged at €165, so you remember the price correctly. As for 2025, we still have an estimated 20%, which we had used when drafting a plan. And as for prices, we keep reiterating the concept that we had already set forth in our business plan. That is to say that there is an increasing difference between some achieved figures and PWN base, and the type of our plans allows us to have an achieved price which shows systematic premium over the base. National single plan in my opinion. In the business plan, we use the average figure for the last five years, where the achieved price was 10% higher than the base PN. But at least the first two years of those ten years, 2019 and 2020, were basically flat. The levers were very low and there was no volatility, which is what makes a difference. So today we see price which is stably over €100. Over our plan period, we basically assumed a 10% increase in this figure. So, honestly, we feel very confident and comfortable in this respect, because we don't see any concrete possibility that in the next ten years, there may be anything different from gas price, which can set the price for energy in a marginal price. From a marginal price perspective, in terms of supply price, well, I think that you're more surprised than we are. We have always told you that margins were performing very well because we signed the contracts and we know them very well. And let me underline that as part of these performance, in this quarter alone, we have €28 million retention costs only for this quarter, which are the sale of the €80 million that we already spent in 2023 to reposition our customers. As I mentioned earlier, and throughout 2024, despite the revised guidance, we have similar investments of approximately €80 €90 million for repositioning, which will no longer be there in 2025. So we expect that net of some competition or performance for 2025 would be better than in 2024 because of this obvious reason, with regard to the guidance. I'll hand over to Luca, who can give you some more details.
Luca Moroni: [Interpreted] Let me just say it has already been explained exhaustively and is possible to draw the conclusions. From this reasoning. It's clear that the two businesses of generation and market are performing very well, most notably generation, thanks to the effect of hydro production, whereby we assume to reach 4.4 terawatt throughout the year, which allows us to have good visibility also on margins, considering the fact that we continue to proactively manage hedging. Therefore, in this €90 million, approximately two thirds in generation and one third in market, and then there are minor differences for the other businesses, but these are the two main drivers. Thank you very much indeed.
Operator: Next question. Davide Candela from Intesa Sanpaolo.
Davide Candela: [Interpreted] Good afternoon. Thanks for your presentation. I have two questions. First question, referring to generation, it's a conceptual question, question about hydro as in 2022, with drought that has had a taste in 2023. Could an apparently positive year like 2024 have positive reverberations on 2025 in terms of water level? So is it possible to store terawatts for the following year, or is it convenient to generate more energy also for a price reason in 2024? Second question is about the network. If we look at electricity and gas ramps, I have seen significant growth, not only year-on-year, but also growth with reference to end of 2023, plus 18% for electricity. So end of 2023, did you still have a temporary rabbi, not considering some aspects, like for instance, the deflator and inflation effect? Or do you have new impacting projects in 2024 which have produced these benefits?
Renato Mazzoncini: [Interpreted] As to hydroproduction, it's very likely, if 2024 continues normally to reach year end with a bill up in water reservoirs. We don't have any specific interest in depleting all of them in 2024. We have had to update the guidance in Q1. We have therefore the opposite interest. We don't have water reservoirs with a huge capacity. This is definitely an element which is fraud with some limitations. But in 2023, we had 3.7 gigawatts. And this was also partly due to the fact that the year had started with empty reservoirs. While we deemed that 2025 will start with water reservoirs filtered to their maximum capacity level, and this is important to consider, we have reduced the hedging from 70% to 63%, and there is no price decrease assumption in 2025. So also on the price side, we don't have any interest in anticipating the production in 2024 over 2025. As to the electricity rab, it's a topic you're very familiar with. We don't have a rab increase due to acquisitions. We have increased due to the fact that we have performed € 234 million investments in 2023. There are about € 70 million depreciations and € 170 million more of electricity, which stems from the huge investments we are making in the electricity grid, so as to tackle the growth. In the peak demand in the city of Milan were the distribution level is about seven terawatts per hour, an energy density which is five times higher than in Rome, and a network increasingly demanding for energy. A peak capacity of 1.7 gigawatt but we are suffering when we reach 1.5 gigawatts. So the investments we are making will help us reach 2040 with a 2.6 gigawatt capacity, which requires this level of investments. This is a very important element to consider. Yasa has a more limited increase, mainly due to the service contract with the municipality of Milan. Also for gas we have incremental investments in our business plan. And for water you see a higher figure than we had originally assumed because it's some way self explanatory. We were supposed to transfer twelve small concessions to the in house operators in the province of Brescia called [indiscernible]. And they didn't have the economics to step in. And as a matter of fact, they have surrendered. They have given up. The assets are still controlled by us and the same goes for the RAB. We are still investing in water and we believe there can be great opportunities there in our future.
Davide Candela: [Interpreted] Thanks. Just a question for clarification on electricity. Rather, the investment plan and the trend underway are both clear. I just wanted you to contextualize the figures. If I look at your figures, end of '23 you had about €950 million, which is more or less the same value that you have in Q1 2024?
Luca Moroni: [Interpreted] We can explore that after the call, if you wish. I remember in Q1 2023 the [indiscernible] was approximately € 870 million, € 900 million and we have now reached € 1.1 billion or more. Remember, an increase between the two quarters of about € 170 million between Q 423 and Q1 2024 with an annual depreciation which was about € 70 and investments of about € 230 million. After the call you can get more details from our co workers. We will be glad to provide further details. After the net of NL acquisition, we estimate we will reach € 3.4billion in 2035. And this happens following the curve we have provided in our business plan. So please make a reference to the business plan which is the most reliable planning tool we do have. Thank you.
Operator: Thank you very much indeed. The next question from Emanuele [indiscernible].
Unidentified Analyst: [Interpreted] Thank you. Good afternoon. Congratulations for the performance. I have a first question about the disposal plan to fund the acquisition of the electricity network from NL. I would like to know whether you can give us some information about the assets before the call. I have seen some Reuters figures on a minority's stake in distribution. I don't know whether you can add some information on that? Second question relates to hydroelectric concessions. Lombardy region has not started an award process but has launched a call for bids concerning services so as to start the process of awarding the concessions which have expired or which are going to expire before December 1, 2029. What's your stand on that? In the past, this was quite a logic. The approach was that these assets were central in Europe, so there are public concessions on these assets and the governments would then step in. This was at the expectation it has not happened in 2023 and it has not happened year to date. Can you provide us an update on that? And then the last question about the ancillary service market for MSG for dispatching services, which will be for sure a week in 2024, decreasing versus '23, as we have seen in Q1. Do you have any update, any guidance for 2024 as a whole?
Renato Mazzoncini: [Interpreted] Yes, as to disposal. So there nothing I can tell you. You will probably understand the reason for that. We have said sure lesser than one month ago, that we were working to identify assets that can be interesting for minority operations among these assets. Maybe Reuters were referring to that. There can also be gas networks in the last few hours. They seem to be in the center of everybody's attention. So allow us some time and you will then see that we will follow an easy line. We are interested in having assets that are valued positively and assets which do not cause any governance issues, assets which don't make our life or the life of our business plan more difficult. As to hydro concessions, we have 2000 mw for what the volume, for the call for bits, and this value is self explanatory. By the way we are in a phase where it's not really easy to oversee whether this coal forbids the standard processes will be completed or not. Councillors have this story, a couple of days ago has written an article on that. There was an interview and he has answered very cautiously to the question about the new tenders. After European elections, there can be a reopening of the negotiation table with Brussels for hydroelectric concessions within the context of the DG competition to pursue the fourth wave that we still deem to be the main way for the future. My very personal opinion is that there will be no tenders for hydroelectric energy, but I would like to specify that Milan seems to be the only place where tenders are constantly held for public transport, for gas networks, for waste collection. We have recently been awarded the order in that there are many exercises to be carried out at the same time. Meta we are the main operators in this sector, so we are not really concerned about the tenders for our business plan. I don't think it's logic to start them in a scenario of European competition. If there is no mutuality from other countries. We have well protected our gas networks and the waste collection networks. And we will also be able to protect and defend these assets where the level of confidence and the familiarity that we have with local territories give us a leading edge in properly managing these plants and taking part in the tenders, we see a normalization. The figure of Q1 is in-line with the budget and figures. We are not surprised by the situation. Also at business plan level, we had assumed a decreasing trend. We are in a cautious position, considering MSD margins. What is this regulator is now intervening on? Herrera and some way. We were expecting that. Thank you.
Operator: Thank you very much indeed. Next question from Francesco Sala, Banca Akros.
Francesco Sala: [Interpreted] Good evening. Thanks for the presentation. Congrats for the results. First question. Is there more visibility on the closing date for acquiring NL networks? Is it going to take place in the last few days of '24 or is it going to be postponed by a few weeks? The second question, have you done some reflections about changing the mechanism for calculating the single energy price? And the last question is about the model, the DNA model. So what we have seen in Q1, could it be projected also for quarter, two, three and four? Can you repeat the question? The trend that we have seen for the DNA, could it be projected for the other quarters of 2024 as to the assumed closing date for the lab transaction?
Renato Mazzoncini: [Interpreted] Now the projection is Q4 2024, presumably December, as there is no reason for postponement. Now there is much work to do. There will be antitrust procedures to be carried out. If there are no delays, we could also close earlier. We are talking about regulated assets, so I don't see any accounting or contractual complexity here. It's just a physical problem. We have a set of performance measurement indicators, this energy that we use for calculating the network performance. So the quantity of energy which is distributed is a key performance indicator. We need to transfer these data, these gateways, measurement devices from the boundaries of Milan to the boundaries of the province of Milan. So it's a physical activity that has to be carried out in moving the measurement devices. This is. There is close cooperation between our technician and NL one said there is no reason for assuming a delay. The P1 calculation mechanism. Look, do you want to expand on that mechanism for calculating the national energy price? Italy is still subdivided into six regions. Price wise, this is a wholesale price to end consumers. We have the average price. These are the end user prices that they see every day. But as we have repeatedly said, it's very important to talk about the zone specific PUN single energy price. For our plans we are reviewing, there is a consultation paper issued by the authority about the possibility of transforming this end user pun into a zone specific pun. We will see the evolution of this initiative in the next few months. For the DNA, I would say so. We have done an annual estimate, about 200 million by four. This is the estimate.
Operator: Thank you. Next question from Roberto Letizia Equita.
Roberto Letizia: [Interpreted] Good afternoon. Very quickly, you have already answered to almost all of my doubts. Can you repeat the coverage price for 2025? You have mentioned the percentage, but not the price. Is there any change? And what about the spark spreads in Q1 and also expected evolution throughout 2024? So forward curves are now projecting a rapid change. Can you expand on that and then waste performance in 2024? What do you expect performance wise in the next few quarters?
Renato Mazzoncini: [Interpreted] As to the price, we have edged 20% at 128 for spark spreads, as always explained, besides the fact that the hedging in 2025 will not be significant because the market is not liquid enough to do hedging on that in 2024, we have a hedging of about 30% at a price of about €20. We should nevertheless consider that with the CCGT plans, we use flexibility, very much. so we manage to produce during time slots of the day, when we profit from very attractive, very high peak margins compared to the average values you can reach. These two situations cannot be easily compared. It's therefore necessary to operate as we do with our energy management department. You need to operate on the market every day, every single hour together, experience and be able to get these margins.
Roberto Letizia: [Interpreted] What was the other question about waste?
Renato Mazzoncini: [Interpreted] Waste will develop positively. There will be a quarter-on-quarter increase. The assumption was for growth throughout the plan. We should reach about €400 million, maybe slightly more than that compared to €307.
Operator: We have a follow up question from Davide Candela from Intesa Sanpaolo, please.
Davide Candela: [Interpreted] Yes, good evening again. I'm sorry for this follow up question. I have two questions. Basically, the first one is about financial expenses at seen a good performance in the in Q1. And I think that this is also due to extra return on liquidity and cash. And I would like to ask whether the trend, the performance of the quarter is a proxy for the year, or whether there would be a slight increase over the next few quarters? And then I have a question concerning going back to disposals, but still with regard to debt or equity like instruments, I would like to ask whether an alternative solution could be to issue a hybrid bond instead of making potential disposals, or whether you remain focused on basically to avoid this diluting the EPs in future? So I'd like to know if you have any comments to make because that would be helpful.
Luca Moroni: [Interpreted] Well, on the second point, that's definitely one of the available options. We are conducting some analysis in order to figure out what works best from a financial point of view, basically, but definitely the various feasible options also includes hybrid bonds because this is a particularly positive time with regard to the demand for hybrid bonds on the market. And as to financial sustainability, well, in my opinion, I would say that we have very good return because for our cash, but we really hope that interest rates will be decreased and I think we're not the only ones hoping for that. Let's see what will happen, but, and let's see what [ph]Misses Lacarde is going to do over the next few weeks.
Renato Mazzoncini: [Interpreted] Yes, you're absolutely right. Well, in this case too, Q1 definitely takes into account of a good remuneration of assets of the available cash, cash on hand, and the balancing will depend on the interest rate trend and on whether we can turn to the market in an efficient way with a product which is currently being studied in the most opportunistic form for us with the regard to the possibility of keeping extracting some value from invested cash. But let's say that we can to say something about € 130 million and €150 million. Okay, thank you.
Operator: Thank you. There are no further questions, so I will hand thee floor back to Marco Porro to conclude today's conference. Thank you for ant follow-up or further questions please refer to the IR department.
Marco Porro: [Interpreted] Thank you very much and good evening. thank you and good-bye [Audio ends abruptly]